Operator: Greetings and welcome to the Model N, Third Quarter Fiscal 2015 Financial Results Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Sheila Ennis, Investor Relations for Model N. Thank you Ms. Ennis; you may begin.
Sheila Ennis: Good afternoon and welcome to the earnings call for Model N’s third quarter fiscal 2015 which ended on June 30, 2015. With me today are Zack Rinat, Chairman and Chief Executive Officer; and Chief Financial Officer, Mark Tisdel. Our press release was issued after the close of market and is posted on our website where this call is being simultaneously webcast. The primary purpose of today’s call is to provide you with information regarding our third quarter 2015 performance, in addition to our financial outlook for the fourth quarter and full-year of fiscal 2015. Commentary made on this call may include forward-looking statements. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors in documents filed with the Securities and Exchange Commission, including our Annual Report on Form 10-K and our Quarterly Reports on 10-Q for information on risks and uncertainties. Should any of these risks or uncertainties materialize or should our assumptions prove to be incorrect, actual company results could differ materially from these forward-looking statements. In addition, during today’s call we will discuss non-GAAP financial measures. These non-GAAP financial measures which are used as measures of Model N’s performance should be considered in addition to, not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results in our press release. At times in response to your question, we may offer incremental metrics to provide greater insight into the dynamics of our business or our quarterly results. Please be advised that this additional detail maybe one-time in nature and we may or may not provide an update in the future on these metrics. I encourage you to visit our Investor Relations website at investor.modeln.com to access our third quarter fiscal year 2015 press release, periodic SEC reports and the webcast replay of this call. Finally, unless otherwise stated, all our financial comparisons in this call will be to our results for the comparable period of our fiscal ‘14. With that, let me turn it over to Zack.
Zack Rinat: Good afternoon and thank you for joining us today. I’m pleased to report that Model N delivered strong Q3 results, exceeding our guidance on both the top and bottom lines. Model N is making excellent progress executing in our strategy to competitively growing our revenues and transforming our business to such. Model N grew 22% versus Q3 of fiscal year ’14 and reported 65% of our revenues in SaaS and recurring revenues. Furthermore, this is our third consecutive quarter of both sequential and year-over-year growth. We believe we have reached two important tipping points in the market. First, revenue management is now a mission critical solution in organizations and second, cloud based solutions are commonly being leveraged even in highly regulated industries such as pharmaceutical. Let me walk through some of the business highlights of the third quart that illustrates these two tipping points. In our pharmaceutical vertical Model N has won significant deals with both new and existing customers to replace this jointed revenue management systems with our end to end revenue management cloud. The North America division of Glenmark pharmaceutical selected Model N Revenue Management Cloud to transform the revenue management lifecycle for miscellaneous of this jointed operation into strategic end to end class to enable profitable growth. Glenmark is close to $1 billion in revenues and 11,000 employees. Since its first product launched in 2015 Glenmark has emerged as one of the leading generic organizations in the country. The business has grown in a consistent way with the robust portfolio product that has doubled every year. Glenmark delivered Model N revenue management cloud to accommodate evolving market strategies, including an expansion into new channels, to scale, to manage data volumes associated with growing product portfolio and importantly to minimize compliance risk. Actavis previously a Model N customer completed the acquisition of Allergan to become a $23 billion company, positioned as one of the top 10 global pharmaceutical companies in the world. The combined company is renamed Allergan and in strong and sustainable brand franchises, a leading global generic business, a premier pipeline, highly efficient operations and experienced management team creating an unlevered foundation for a long term growth. Actavis has done a remarkable job in leveraging Model N as the platform to integrate the previous acquisitions. Actavis has once again expanded their commitment to Model N to enable integration with Allergan. AstraZeneca is the number eight in the top 15 pharmaceutical companies lineup and one of the only pure-play biopharmaceutical companies to span the entire value chain of medicine from discovery, early-and-late stage development to manufacturing and distribution. AstraZeneca has selected Model N revenue management cloud to replace the legacy revenue management solution leveraging revenue management cloud and a growth platform to maximize the U.S. revenues, both commercial and regulatory as well as reducing cost by improving efficiency. Model N enjoys further momentum in Q3 with our ready product line which is a SaaS solution based on force.com. For instance, we had a significant win at Ortho-Clinical Diagnostics or OCD with Revvy CPQ. OCD serves the transfusion medicine community and labs around the world with over 4,500 employees. They are the leading provider of total solutions for screening, diagnosing, monitoring, and confirming diseases early before we put lives at risk. OCDs single focus is to help hospitals, labs and blood centers worldwide deliver results that help patients experience a better quality of life. OCD was recently part of J&J and is leveraged the modern name revenue management application suite for over 14 years. They have selected Model N configure price and quote or Revvy CPQ for medtech to maximize revenues by enabling the Global Sales Organization to quickly submit winning proposals, leveraging a global standard platform. Additionally we saw a continuing increase in our Revvy CPQ footprint leaving this manufacturing solution an industry leader in Robotic Integration Solutions and Nitto Denko, the largest manufacturing of Phase 3 [indiscernible] and values added for that with over 30,000 employees. A top 15 pharmaceutical company based in Europe selected our Revyy global price management or Revvy GPM. Leveraging Revvy GPM, this leading company will enable worldwide collaboration and conspiracy for global prices. With the GPM we’ll enable them to maximize their revenue by reducing price and revenue erosion via best practices processes, sophisticated analytics and launch sequence optimization. Revvy GPM is now the de-factor growth standard for Global Price Management having been selected by eight of the 20 pharmaceutical company, but opportunity for Revvy GPM goes well beyond the last companies as evidenced by previous wins, including Vertex Pharmaceuticals in Q3. Our momentum has not been exclusive to the life sciences segment of our business. GlobalFoundries, one of the world’s first full semiconductor foundry, was a global manufacturing and technology footprint and 18,000 employees chose Model N’s revenue management cloud for semiconductors. We will be implementing our global price management quoting contract and inelegance product to automate a cohesive end to end process for executing price and pricing growth more consistently and to support deal review work flow and compliance tracking for the pricing fee worldwide. Model N is a clear enabler of this new initiative. Crocus Technology is a pioneer for the static technology in the semiconductor market. Crocus was looking for a CRM solution and chose Model N Revvy sales for semiconductors, the only CRM solution built for semiconductor companies. Revvy Sales is integrated with our revenue management cloud to coordinate the entire sales and channel revenues. Crocus selected Model N for semiconductor specific functionality built into Revvy Sales. Our Revvy product line is a key component of both our strategy and our revenue management cloud solution in both life sciences and hi-tech. Revvy’s leverage is both and expansion opportunity into core end customers and as a catalyst to penetrate new customers. OCD [indiscernible] and Abbott among others having selected Revvy CPQ for MedTech and the top 15 European pharmaceutical company that has been a customer of Model N in the U.S. selected Revvy GPM, a great testament to the enormous strategic value of our enterprise great Revvy product. In fact Revvy GPM has been selected by four of the top 20 pharmaceutical companies as the first Model N application and it’s evident in the power of Revvy to penetrate new accounts. And finally, the wins this quarter with Revvy Sales and Revvy CPQ also demonstrate Revvy’s ability to penetrate this SMB market. We are pleased with our progress in Q3 and particularly pleased to report that our Q3 SaaS and recurring revenue represents 65% of our total revenues. We are executing on our strategy of comparably growing revenues and converting to SaaS and recurring revenues. We are expanding the organization to ensure we exceeded our customer’s expectations. The third quarter was also a record recruiting quarter for Model N. I continue to encourage by the momentum we are gaining as the market becomes more aware of the strategic importance of revenue management. Let me turn the call over to Mark to discuss our financial results and guidance for the remainder of the year. Mark.
Mark Tisdel: Thank you, Zack. Total revenues for the third quarter were $23.6 million, above our guidance range of $23.1 million to $23.4 million and representing growth of 22% compared to $19.3 million in the year ago period. Within total revenue license and implementation revenues were $8.3 million and SaaS and maintenance revenues were $15.3 million for the quarter. The mix of revenue in Q3 was 65% SaaS and maintenance versus 35% license and maintenance, an improvement from 58% SaaS and maintenance versus 42% license and maintenance in Q3 of fiscal 2014. We continue to transition to a SaaS and maintenance model and this quarter’s results represent the highest percentage of SaaS and maintenance revenue in the company history. Year-over-year we recorded a 36% increase in overall SaaS and maintenance revenues. Before I move on to profit and loss items, I want to remind you that my commentary will be focused on non-GAAP results. A reconciliation of non-GAAP to GAAP results is provided with our earnings press release issued earlier today. Gross profit for the third quarter was $13.1 million compared to $10.6 million in the third quarter of fiscal 2014. Similar to recent quarters, gross profit in this quarter included an impact of roughly $600,000 from the amortization of capitalized software that began upon the launch of our Revvy CPQ product. Overall, gross margin in the quarter was 56%, compared to 55% in Q3 of last year. I want to reiterate that we do expect some quarter-to-quarter variability in gross margins depending on the mix of revenue and other factors. Research and development expense was $4.1 million compared to $4.5 million in Q3 of 2014. We're investing to further expand the breadth and depth of our products, and the results this quarter do include the capitalization of expenditures related to the expansion of our Revvy product offering in the order of $600,000. Sales and marketing expense was $6.8 million compared to $5.9 million in the year-ago period. This increase was driven by continued investment in sales and marketing as we look to expand our sales coverage and continue to increase our sales pipeline. G&A expense was $4.3 million compared to $4.1 million in Q3 of 2014. Operating loss for the period was $2.1 million compared to a loss of $3.9 million in the third quarter of last year and above our guidance of an operating loss of $2.3 million to $2.5 million. Net loss in the third quarter was $2.1 million compared to a net loss of $4 million in the third quarter of fiscal 2014. This produced a net loss per share of $0.08 based on the share count of 26.3 million shares, an improvement from a net loss per share of $0.16 in Q3 of last year, which was based on the share count of 24.8 million shares. This was above our guidance of a net loss of $0.09 to $0.10 per share. Adjusted EBITDA for the third quarter was negative $1 million, compared to a negative $3.1 million in the year-ago period. We ended the third quarter with $93.8 million of cash and cash equivalents, up slightly from $93.2 million at the end of the second quarter. We expect to exit fiscal year 2015 with approximately $90 million to $91 million in cash on the balance sheet. At the end of the third quarter our accounts receivable balance was $20.9 million and our total deferred revenue was $28.3 million. As mentioned earlier, we believe our accounts receivable and deferred revenue balances are not a meaningful indicator of the business activity during any particular quarter, as the timing of invoicing under our contracts impacts these items because we do not bill our customers up front for the total contract fees. For the third quarter cash flow provided by operations was $1.4 million, which after adding CapEx of $0.7 million and $0.6 million of capitalized software produced a free cash flow of $0.1 million. This compares to cash flow provided by operations of $2.3 million in the third quarter of last year, which after adding $1 million of CapEx, produced a free cash flow of $1.3 million. Similar to prior commentary in regards to our receivable and deferred revenue balances, there can be some quarter-to-quarter variability in our cash flow as it is impacted by the timing of invoicing under our contracts. Moving on, let me now outline our guidance for the fourth quarter of fiscal 2015, as well as our expectations for the full fiscal 2015. For our fourth quarter ending September 30, we expect total revenues to range from $24.6 million to $24.9 million. Non-GAAP loss from operations in the range of $2.3 million to $2.1 million. This will lead to a non-GAAP net loss per share in the range of $0.09 to $0.08 based on a weighted average count of 26.5 million shares. For the full fiscal 2015 we expect total revenues to range from $92.9 million to $93.2 million or a growth of 14% for the year as a whole. Non-GAAP loss from operations in the range of $7.3 million to $7.6 million. Non-GAAP net loss per share in the range of $0.28 to $0.29 based on a weighted average count of 25.9 million shares. In Q4 of fiscal 2015 SaaS and maintenance revenues are expected to be 67% to 68% of total revenue, raising overall fiscal year 2015 SaaS and maintenance revenues to be 61% to 62% of total revenue, up from the 60% SaaS and maintenance revenues we discussed on our last call. As we enter Q4 of 2015, I would like to provide some visibility into fiscal 2016. To the first three quarters of our fiscal year we have seen tremendous progress in our goals of concurrently growing overall revenue and increasing SaaS and maintenance as a percentage of total overall revenue. We expect to continue overall revenue growth in our transition to SaaS and maintenance revenue in fiscal 2016 as we expect our customers to continue to purchase our subscription product offerings. As demonstrated through the first three quarters of fiscal 2015, our customers are migrating to subscription based offerings at a faster pace than we originally anticipated. We continue to invest in these product offerings to ensure we meet our customer requirements. We have seen growth across their life science, technology and our revenue subscription based product offerings and expect that consumption pattern to continue in fiscal 2016. We will provide detailed guidance for fiscal 2016 on our Q4 fiscal 2015 earnings call. Overall the business continues to show improvement in both overall revenue growth and growth in SaaS and maintenance revenue as a percentage of total revenue. We expect to show further progress on both aspects as we enter fiscal year 2016. We believe that our leadership in this large and growing market is adjusting just for further success going forward. We’ll now open the floor for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Nandan Amladi with Deutsche Bank. Please proceed with your questions.
Nandan Amladi: Hi, good afternoon. Thanks for taking my question. So Mark, the first question is on the differed revenue trends. I know you said in the script that billings are probably not the best way to judge the business. But now with two-thirds of your revenue being recurring in nature, when does it become appropriate to start to look at differed revenues and billings as a meaningful indicator.
Mark Tisdel: Sure Nandan. So I think if you look at differed revenue pattern over time, we are at the very high end of the range. We’ve been for the last six to eight quarters. So you are right in the fact that as we continue to move in that direction you would expect differed revenue to increase. I think as we do emphasize, there’ll be certain times when customers will want to be billed in the first week of the following quarter, which therefore would not impact in differed revenue in the reported quarter, so that’s why we don’t feel it’s an important metric. But you’re right in the fact that we would expect to see differed revenue move to the right over time as we continue to execute on our goal of selling SaaS and maintenance revenues.
Nandan Amladi: Okay, and a question for Zack, sort of a big picture industry question. There’s been a lot of M&A in life sciences in general. How does that trend impact your business? Can you give us some examples of where you’ve gained new customers versus perhaps lost a customer if the target company was a customer and the parent company then may have changed to a different product.
Zack Rinat: Yes, so Nandan, thank you for the question. In general M&A has been extremely positive driver for Model N business. As the company merged, we see an opportunity to develop a platform for integration of the combined company and it really pushes them to make some of the strategic decisions related to revenue management. When you look at the M&A activity in the life sciences industry in general, in pharmaceutical in particular, that cost to modern significant bookings and revenues over the years. An example for this will be the merger a couple of years ago between Merck and Schering-Plough. Neither companies were a customer of Model N and as they have come together they decided to standardize at Model N, hence they are basically a platform from the combined company. Another example is what we announced this quarter on the list with Actavis and now Allergan. Actavis used basically the Model N platform. It’s a way to integrate the previous acquisitions and so they acquired the companies like Force and other pharmaceutical companies and as they grew their business they used Model N as the integration platform for this solution. Most recently they acquired Allergan and what we announced is their use device now, Model N is the platform to integrate with Allergan. It’s not certain that Model N is always going to be on the winning side. There were very few deals where we are not on kind of the winning side, where we decided and expect to use their legacy systems, but when I look at this over a very kind of long period of time, that yielded us basically losses of a couple of hundreds of thousands of dollars in revenue, where on the other hand it was a different pay mode in the hundred million of revenues that we got actually from acquisitions over time. So its two orders of magnitude better for Model N in terms of history.
Nandan Amladi: Thank you.
Operator: Our next question comes from the line of Tom Roderick from Stifel. Please proceed with your question.
Tom Roderick: Hi guys, good afternoon. So I wanted to just get a better handle on this model. I think Nandan was doing a good job sort of breaking through to the heart of the differed revenue there and it looks like you put up a nice jump in differed. So as it relates to some of the booking trends you saw in the quarter and how we think about the puts and takes on license and implementation versus the SaaS and subscription line, what’s the boarded trend line on those two? In other words, should we model L&I [ph] to continue to sort of be down over time. Would you suggest that 2016 will likely be sort of equivalent or less on the L&I side than what we’re going to see in ’15. And what’s sort of some of your goals as you look out to the mid-term or kind of 12, 18, 24 months’ timeframe goals of the SaaS and subscription line for how you think you can grow that?
Mark Tisdel: Sure, I’ll take the first part of that question Tom, thank you for the question. In reference to what we’re seeing as far as the trend, from a bookings perspective I think it correlates with what we’re seeing from our revenue perspective. So as we talked about earlier on the call, this quarter we were at 65% SaaS and maintenance revenues and we guided to 67% to 68%. So we are seeing booking in that directions. Customers are consuming products from the SaaS perspective and as we enter 2016, although we obviously are not guiding at this time, from a color perspective we do expect that trend to continue. So we are seeing customers migrating as we talked about in the past on all three areas of delivery, the life sciences, high tech and from a revenue perspective. Customers are consuming the SaaS product and we do expect that trend to continue as we move forward. We would expect to see that trend continue to 2017 and beyond. I think a lot of customers that we see today coming to us and they are looking for SaaS products, they are not looking for on-premise products anymore and that process has accelerated very quickly to our customer segment. We’ve been very pleased with that delivery through 2015.
Zack Rinat: Great, okay. So Tom just to add to Mark from a strategic point of view; if you think about what we have done over the last 18 months and so, we also are series of a cloud in SaaS solutions to connect it to the market and is the trend to consume this software. It’s become to be evident and new customers are buying almost solely kind of from this product. But our strategy with revenue management as a service, also it provides a unique feature to our installed base to move on-prem installations to software service and that’s enabled us to use this to get those, both the new market as well as the conversion of our installed base to recurring revenues and that leaves, basically when you think about the first line of license and implementation for only core end customers that they continue to keep the solution on-prem and lots of them are actually strategically moving through to SaaS.
Tom Roderick: Zack, that brings up an interesting second question around the existing installed base. When you do move a customer from an on premise installation to a software as a service arrangement, what are the economic puts and takes in that model. Do they effectively sort of trade a maintenance payment for a subscription like for like? Is that just another opportunity to up sell the momentum of the newer SaaS based products like Revvy CPQ when you talk about the sales cycles and the economic puts and takes look like there.
Zack Rinat: Yes, so our solution is definitely in terms of submission of – the coin submission and that’s not a replacement of support and maintenance. It’s obviously it’s a head-on solution that they kind of they provide with these package which allot bigger values to our customers, including the one that you mentioned there which is the ability to consumer a new software that the company has and its all integrated with the revenue product line that we have and so we see it as a significant opportunity for connecting our customers as they transform their business to SaaS.
Tom Roderick: Very good. Last question from me, for this one that either of you, whoever wants to take it. The revenue line continues to grow. It’s been driven more by subscription. What’s the right revenue level or the timeframe for returning to profitability we got to think about as we build out our models for ’16 and ’17.
Mark Tisdel: Sure, I’ll tackle that one Tom. So as we look at our profitability and we’ve discussed our focus, our overall focus for the business has been on three different areas, but number focus for us is overall revenue growth. Number two has been recurring revenue as a percentage of revenue and then three has been in profitability. You can see we feel even very successful delivering with year-over-year 22% growth, but also we called out earlier, 36% year-over-year growth from the SaaS and maintenance perspective. So we’ve done very good in those two areas. As Zack discussed earlier, we’ve also added a number of new customers to which we have up-sell abilities from a SaaS product if there was this perspective. We will continue to invest in sales and marketing and R&Ds we’ve discussed earlier in the call and we’ve had a great recruiting quarter as we’ve talked about earlier. So again, we’re not guiding on 2016. We are remembering the fact that we talked about EBITDA earlier in the year and as we enter in 2016 we will continue to focus on that area, but our primary metric that we’re driving the business by right now are overall revenue growth, which I think we’ve done a strong job and SaaS and maintenance revenues as well.
Tom Roderick: Okay, very good. Thank you guys.
Operator: Our next question comes from the line of Brian Peterson from Raymond James. Please proceed with your question.
Brian Peterson: Good afternoon guys and thanks for taking the question. I just wanted to clarify the answer to Tom’s question on SaaS and how your customers are looking at potentially on premise versus SaaS. Mark, I know you said that that’s going a little bit faster than expected and that most customers are actually looking for SaaS. Are we really at the point now, where let’s call it nine or maybe even 10 customers are coming looking specifically for SaaS solutions or do you still have instances where there are hold outs looking for on premise implementations.
Mark Tisdel: Sure, Brian that’s a good question. I think the answer to that is a majority of the customers that come to us today, from their infrastructure perspective are consuming products from the SaaS perspective and so when they come to us its formal that they have that discussion. When they look at overall cost of ownership, they come in and talk about other products that they’ve consumed this way and how we would fit in to that portfolio of their internal products. That’s not to say there’s isn’t some customers that come to us. Some customers will come to us looking at a perpetual versus the SaaS model maybe because they budgeted it that way a couple of years ago and they are trying to get into the normal budgeting from a consumption versus a perpetual license, but a majority of the customers that come to us look to SaaS as first and we don’t have that many discussions on the perpetual side. So it’s really driven by the customers versus Model N trying to push them towards the SaaS platform.
Brian Peterson: Got it. All right, thanks for the clarification there. Obviously you guys have a lot of new products in different markets, so maybe this is an unfair question, but I’m just looking to get a high level clarification or a perspective from you guys. How do you look at organic growth in your business? Obviously we’ve had some puts and takes. I’m just curious how you look at that potentially longer term?
Zack Rinat: So we believe that we are in the large market for revenue management and we believe that we have kind of the great market, kind of an opportunity. Most of the verticals that we are at right now, we are leader in kind of from the book, and there seems to grow it very strong indicated by the results of this quarter and the trend that we see over the last couple of quarters and we believe that we have a very strong product line that enables us actually to serve the broader market. So we feel good about the kind of continuous organic growth of the company.
Brian Peterson: Okay, great. Thanks guys.
Operator: Our next question comes from the line of Sterling Auty from JPMorgan. Please proceed with your question.
Darren Jue: Thank you. It’s actually Darren Jue on for Sterling. Just a question around the guidance. I’m just wondering, given that you outperformed the high end of your guidance for the June quarter, you have to be having a lot of momentum. I’m just wondering why the top end of the revenue guidance for the year is actually coming down a little bit.
Mark Tisdel : Sure, Darren. So if you look at where we talked about for the year, we basically have tightened up where we believe that we are going to land from a Q4 perspective and you know we are very conservative around our approach in revenue. And when you take the first three quarters actually plus the Q4 guidance, we are slightly below the top end of the guidance that we announced for the year, but we are certainly in the mid to higher end of the range that we talked about for the entire year. And so we have been very much higher than we talked about earlier in the year as percentage of our SaaS and maintenance revenue as well. As you mentioned, you remember earlier in the year, we didn’t disclose that as a metric, then we talked about being at 60% for the year and now we are a little bit above that, about 61% to 61% for the year. So that plays slightly into that number set. But again, we feel very strongly about what we are delivering for the year, 14% year-over-year growth and the fact that we are at the mid to high end of the range that we talked about for whole year.
Darren Jue: Okay, fair enough. Just wanted to ask another question around gross margins, specifically on line two. I know you mentioned that there is some quarter to quarter variability but I’m just wondering why the line two gross margin has declined over the last four quarters.
Mark Tisdel: Sure, from a line two perspective, Darren you remember the way that we recognized that revenue is obviously ratably over the term of the arrangement. So sometimes we will require to make investments up front, and then deliver the revenues with those investments over time. So we’ve had very strong sales activity for line two and we talked about that, so we’ve had to make increased investments in cloud delivery and then the resources which are related to those deals. So that would give us slight downward impact in the current quarters, but obviously our goal is to continue to improve gross margin as we enter 2016 from a line two perspective and from an overall perspective.
Darren Jue: Okay, thank you.
Operator: [Operator Instructions]. Our next question comes from the line of Peter Lowry from JMP Securities. Please proceed with your question.
Peter Lowry: Hi, great. Can we get an update on traction form Model N Express and your outlook for penetrating the midmarket?
Zack Rinat: We continue to focus on kind of on the mid market who is connected with Express and we can’t announce all the news that kind of what we want, but we are making some good kind of new progress there as well. One of the things that is very important for us to express is also increase the bandwidth of kind of from the sales origination. So we did a good job in recurring more sales organization to cover our territory. If you think about what we announced this quarter and before that, we keep doing some kind of in the very large deals and continue to scale the kind of the sales organization, and we believe that a continue with Express and with the new product is going to be a very good rate for us to kind of not to diversify and seeing this, the vast majority of our business will continue to come from the large companies as we are key ingredients of their revenue management solution, as they grow, as they acquire and as we further kind of penetrate into to market. We spoke in the past about recent win that we had with for example [indiscernible] pharmaceutical. It’s a European company based in Denmark where initially they acquire our global price management solution and actually they went live most kind of recently with express implementation in less than four months. So there is so much we can talk about in this announcement, but it’s still progressing nicely with Express.
Peter Lowry: Update on the competitive environment. Is the demand for SaaS changed that or is it fairly stable.
Zack Rinat: We feel that the market for a competitive kind of my point of view is positive for [indiscernible] and we believe actually that out SaaS based solution is highly differentiated in kind going to market, and we have a very complete and very robust effort that we continue to improve with user interface, with new features, with new applications. And it’s clearly a kind of ideally being the product in its space. Obviously with a newer set of products like Revvy CPQ we tend to see sometimes new competition, but it’s also very, it’s a very robust market. So I would say in general, I’ve fee extremely good about the competitive positioning of the company and the products that we provide.
Peter Lowry: Okay great. Thank you.
Operator: There are no further questions in the queue. I’d like to hand the call back over Zack Rinat for closing comments. End of Q&A
Zack Rinat: So, thank you all very much for attending the call today. We are excited about where we are as a company and we are encouraged by the progress that we made in both growing the company and converting the company to SaaS and recurring revenues and we believe that we have very exciting market opportunities for revenue management, and we are working hard to take advantage of that. Thank you very much again for attending the call.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.